Operator: Good morning. Welcome to the Waters Corporation Fourth Quarter 2017 Financial Results Conference Call. All participants will be able to listen-only until the question-and-answer session of the conference. This conference is being recorded. If anyone has objections, please disconnect at this time. It is now my pleasure to turn the call over to Mr. Brian Brockmeyer [ph], Head of Investor Relations. Sir, you may begin.
Brian Brockmeyer: Thank you, operator. Good morning, everyone and welcome to the Waters Corporation fourth quarter earnings conference call. Before we begin, I will cover the cautionary language. During the course of this conference call, we will make various forward-looking statements regarding future events or future financial performance of the company. In particular, we will provide guidance regarding possible future income statement results of the company for the first quarter and full year 2018. We caution you that all such statements are only predictions and that actual events or results may differ materially. For a detailed discussion of some of the risks and contingencies that could cause our actual performance to differ significantly from our present expectations, see our 10-K Annual Report for the fiscal year ended December 31, 2016 in Part 1 under the caption, Risk Factors and the cautionary language included in this morning’s press release and 8-K. We further caution you that the company does not obligate or commit itself by providing this guidance to update predictions. We do not plan to update predictions regarding possible future income statement results except during our regularly scheduled quarterly earnings release conference calls and webcasts. The next earnings release call and webcast is currently planned for April 24, 2018. During today’s call, we will be referring to certain non-GAAP financial measures. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is attached to the company’s earnings release issued this morning. In our discussions of the results of operations, we may refer to pro forma results, which exclude the impact of items such as those outlined in our schedule titled Quarterly Reconciliation of GAAP to Adjusted non-GAAP Financials included in this morning’s press release. Unless we say otherwise, references to quarterly results increasing or decreasing are in comparison to the fourth quarter and full year fiscal year 2016. In addition, unless we say otherwise, all year-over-year revenue growth rates including revenue growth ranges given on today’s call are given on a comparable constant currency basis. Now, I would like to turn the call over to Waters’ Chairman and Chief Executive Officer, Chris O’Connell. Chris?
Chris O’Connell: Thanks, Brian. Good morning, everyone and thank you for joining us today, along with Brian Brockmeier, Waters’ newly appointed Head of Investor Relations. Joining me on this morning’s call is Sherry Buck, Waters’ Chief Financial Officer and John Lynch, Corporate Treasurer. Before we get started, I would like to thank John for his leadership of the Waters’ Investor Relations function over the last several years. Moving forward, John will be focusing on Corporate Finance and Treasury activities. During today’s call, I will provide an overview of our Q4 and full year 2017 operating results as well as some broader commentary on our current business environment. Sherry will then review financial details for our reported results and provide our 2018 financial outlook. We will then open up the phone lines to take your questions. I am very pleased with our fourth quarter and 2017 in total. We finished 2017 with a strong quarter of sales growth in our key end markets highlighted by broad-based strength from pharmaceutical customers, a rebounding U.S. market and balanced product mix. For the full year 2017, the highlight to me was the great revenue balance across end markets, geographies and product lines resulting in consistent sales performance and double-digit earnings per share growth in each quarter of the year. Total revenue in the fourth quarter was up 6% against a very strong comparison of 9% growth in the same period in 2016. Earnings per share grew 14% in the fourth quarter. This strong finish in Q4 led to full year revenue growth of 6%, a strong P&L featuring modest operating leverage while investing in promising growth initiatives and 13% earnings per share growth for the full year. Additionally, we delivered very strong free cash flow growth of 10% in 2017. Taking a closer look and starting with a review of our market categories at the corporate level, sales to our broadly defined pharmaceutical category grew 8% in the quarter, highlighted by strong demand from U.S. pharmaceutical customers, continued double digit pharma growth in China and a solid pharma rebound in India. For the full year global sales growth from pharma was 7% against a strong base of comparison of 10% in 2016. Throughout the year we continued to see consistent sustainable results driven by our increasingly diverse base of customers, attractive geographical balance and strong product positions in our small molecule, large molecule and medical research applications. Our ongoing strategy work continues to emphasize the vast opportunities in our pharmaceutical business where we believe we are very well positioned to expand our core technologies into a greater breadth of applications to meet the growing and increasingly complex requirements of our customers. Sales to our worldwide industrial category which includes the materials characterization food and environmental and fine chemical markets were flat in the quarter against a very tough 14% comparison in the prior year’s quarter. For the full year we delivered a solid 5% growth in our industrial category and saw growth across all of our key geographies and major product lines. We continue to be excited about our industrial product positions and pipeline and the breadth of opportunity across materials characterization, food safety and environmental applications. Looking at our governmental and academic category, sales grew by 13% in Q4 with broad based performance across all major geographies. In particular, we saw strong spending in the quarter from academic institutions focused on biomedical and Omex research. For the full year 2017 our governmental and academic category grew a very solid 6% though as we have consistently stated this business is a smaller part of our mix and sales tend to be lumpy quarter-to-quarter. Next I will review our performance by geography at the corporate level. Asia now our largest region in terms of revenue grew 6% in the fourth quarter, led by China which grew 14% against a very strong comparison in the prior year period. Our China operations saw a solid growth from all key end markets. Also in the region India rebounded nicely in Q4 as we successfully work through disruption caused in the third quarter due to the implementation of the new GST system. For the full year Asia grew 10% highlighted by 17% growth in China, high single-digit growth in India and steady growth in Japan. Turning to the Americas, sales grew 6% for the quarter with U.S. sales up and encouraging 9%, sales in the U.S. was broad based across key end markets and product lines. We were encouraged by the pickup in spending from midsize and large U.S. pharmaceutical customers who had been more cautious earlier in the year. For the full year sales in the Americas were flat with the U.S. growing 1% as second half growth more than offset the first half declines. Europe continued to be a strong contributor with fourth quarter sales growing 7%, highlighted by broad based growth across the region from our pharmaceutical and medical research customers. We saw European strength in small molecule applications and continued performance in biopharma applications where we are well positioned with our targeted LCMS and biopharmaceutical separation solutions. We also saw strong service revenue from our large and growing base of installed systems. For the year Europe grew 8% delivering strong and steady results throughout the year. Finally I will review product line dynamics within our Waters and TA brands. Waters branded products – Waters branded instrument sales grew 3% in the fourth quarter and 4% for the full year, led by a particular strength in core LC and LCMS systems sold to our pharmaceutical customers. Within instruments, I would like to highlight our bench-top LC tandem mass spectrometry systems led by our higher end Xevo TQ-XS as well as the workhorse Xevo TQS Micro. LCMS systems continued to grow solidly in the quarter and consistently for the full year. As we have commented on in the past we continue to see the expansion of mass spec technology into routine quantification workflows primarily in food safety and biopharmaceutical applications. The development of our tandem quadrupole Xevo platform has enabled us to meet the evolving demands for reproducible quantification capabilities for both small and large molecules. Waters’ branded recurring revenues, the combination of service and precision chemistries, which represent approximately 50% of the corporation’s business, grew 9% in the quarter. Recurring revenues were driven by global strength for our service, HPLC and UPLC application kits and complete chemistry offerings. For the full year, our service and chemistry revenues grew 7% indicative of high utilization rates for the installed base of Waters instruments. Turning to our TA product line, sales grew by 10% in the quarter bringing full year growth to a strong 8%. Instrument system sales for TA grew 12% in the quarter and 11% for the year with broad-based growth across thermal analysis and rheology product lines. Looking ahead, we continue to see opportunities to capitalize on the rising innovation in highly engineered high-performance materials. We will continue to emphasize our discovery series of thermal analyzers while continuing system launches that will add to an already fresh and strong product line. Stepping back, I am pleased with the consistent top line and bottom line results that Waters delivered all four quarters over the past year and I am excited about all we have ahead of us in 2018. As we drive for consistent execution again in 2018, we also remain steadfastly focused on our 5-point long-term value creation model. As I have consistently communicated, we aim to create shareholder value by number one, holding a highly differentiated leadership positions in structurally attractive markets; number two, executing a clear and focused growth strategy driven by organic innovation; number three, programmatically driving continuous operational improvement; number four, being a disciplined capital allocator; and number five, operating with the performance-oriented culture and management team. As we look to 2018, we are anticipating solid market conditions across our key customer defined end markets. In pharma, we continue to see macro trends at rising global regulatory standards increasing global patient access to prescription drugs and the growing testing needs of new biologic drugs that feature in ever increasing complexity of molecular structure. In materials, food and environmental, demand remains strong driven by healthy global industrial conditions and the general rise of regulatory standards for performance and quality. All of these market trends point to customer needs that can be well served by Waters’ core technologies and a greater breadth of applications optimized with our particular strengths in chemistry, software and professional service. Lastly, I would like to make some comments on tax reform generally and the impact on Waters specifically. Overall, I am very positive about what tax reform means for U.S. economic conditions and the overall competitiveness of the U.S. economy. In particular, I am intrigued about the positive implications for increasing U.S. capital deployment by companies of all kinds. Sherry will provide details on the short-term effects of the new law on our tax rate. But before she does, I would like to share my thoughts on capital allocation and the new opportunities created for Waters under the new tax loss. As you know, Waters has always been a judicious allocator of capital. We look at our capital allocation strategy in three levels: number one, invest in the business; number two, enhance our balance sheet strength and flexibility; and number three, return capital to shareholders. Now, with tax efficient access to our significant global free cash flow, we see great opportunity in all three of these areas. In terms of investing in the business, there is now opportunity to invest in the United States at a lower cost of capital where our cash can be very efficiently deployed alongside our innovation processes and supply chain operations. While we already have a strong balance sheet full access to our global cash flow gives us the opportunity to optimize our capital structure for maximum flexibility and opportunistic investments. In terms of returning capital to shareholders through our share repurchase program, tax reform provides us with confidence in the sustainability of our program and additional flexibility to enhance return of capital to shareholders. Looking forward, we will proceed carefully and thoughtfully in evaluating our opportunities for enhanced capital deployment. As we do this, I will continue to view our significant cash balances as a strategic asset of the company that can wait patiently as we seek the right opportunities to invest in high return on investment initiatives. With that, I would like to pass the call over to Sherry Buck for a deeper look of the fourth quarter and our full year financials. Sherry?
Sherry Buck: Thank you, Chris. Good morning, everyone. We recorded net sales in the fourth quarter of $687 million, an increase of about 6% before currency translation which increased sales growth in the quarter by about 3% and resulted in 9% reported sales growth. For the full year sales grew by 6% before currency translation which increased sales growth by 1%. In the quarter pharmaceutical markets grew 8% and industrial markets were flat and sales to academic and governmental customers were up 13%. For the full year pharmaceutical markets grew 7%, our industrial markets grew 8% – 5% excuse me and sales to academic and governmental customers were up 6%. Product line growth was strongest in our recurring revenue with the combination of precision chemistry products and service revenue growing 8% while instrument sales grew 4% in the quarter. For the full year recurring revenue grew 7%, while sales of our instrument product groups grew 5%. Breaking the quarter down further sales relating to Waters branded products and services were up 5%, while TA sales grew 10%. Combined LC and LCMS instrument platform sales increased by 3% and TA’s instrumentation system sales grew 12%. As we continue to see the benefits of new product introductions. Our total recurring revenues associated with both Waters and TA products grew by 8%. Looking at our growth rates in the fourth quarter geographically and before currency translation, sales in Americas were up 6% with sales in the U.S. increasing 9%. European sales were up 7% and sales in Asia were up 6% led by strong growth in China and India. Now I would like to comment on our fourth quarter’s non-GAAP financial performance versus the prior year. Gross margins for the quarter were 60.6% versus 60% in the fourth quarter of 2016 showing a strong finish to the year. For the full year gross margins were slightly better than the prior year at 59%. Moving down the fourth quarter’s P&L, operating expenses were up 9% on a constant currency basis. Foreign currency translation increased operating expense growth by about 2% on a reported basis, stronger than anticipated revenue growth resulted in higher variable expenses in the quarter. For the full year operating expenses were impacted by R&D expense growing faster than sales as we continue to invest in product development and innovation which is a key component of our value creation model that Chris spoke to earlier. On the tax front, our effective operating tax rate in the quarter before the effects of the new U.S. tax cuts and jobs act which are referred to as tax reform and the new stock compensation rule was about 15%. Including a $0.07 benefit from new stock option accounting rules the non-GAAP effective operating tax rate was about 13%. In the quarter as a result of tax reform we incurred a GAAP tax expense charge of $550 million, nearly 90% of this amount is associated with the transition tax on earnings and profits outside the U.S. This charge represents our best estimate and the actual expense may differ from this estimate due to further refinement of our calculations or additional guidance that may become available. For the full year our effective operating tax rate before the effects of tax reform and the new stock compensation rule was 14.7% versus 14.1% in 2016. The increase in the effective operating tax rate was driven by the mix of our earnings in higher tax rate jurisdictions, including a $0.24 benefit from the new stock option accounting rules the non-GAAP effective operating tax rate was 11.8%. In the quarter, net interest expense was $4 million and our average share count on a fully diluted basis equivalent came in at 80.4 million shares or approximately 1 million shares lower than in the fourth quarter last year. This is the net effect of our ongoing share repurchase program. During the quarter we bought 431,000 shares of our common stock for $85 million our non-GAAP earnings per diluted share in the fourth quarter were up 14% to $2.51 in comparison to earnings of $2.21 last year. On a GAAP basis we reported a loss of $4.44 versus earnings at $2.15 last year. As noted previously, our GAAP earnings in Q4 2017 include the impact of tax reform. Both of our non-GAAP and GAAP earnings include a benefit of $0.07 resulting from the new stock compensation accounting rules. The impact of foreign currency translation in the quarter on earnings per share was a positive $0.08 bringing the full year impact to about $0.09. For the full year, our non-GAAP earnings per fully diluted share were up 13% to $7.49 per share versus $6.62 last year. On a GAAP basis, full year earnings per share were $0.25 versus $6.41 in 2016. A reconciliation of our GAAP to non-GAAP earnings is attached to our press release issued this morning. Turning to the balance sheet, cash and short-term investments totaled $3.4 billion and debt totaled $2 billion bringing us to a net cash position of $1.4 billion. We defined free cash flow as cash from operations less capital expenditures and excluding special items. In the fourth quarter of 2017, cash flow was strong and came in at $162 million after funding $30 million of capital expenditures. This represents both a strong quarterly performance and a full year growth of approximately 10%. We were able to convert $0.27 of free cash from every dollar’s worth of sales for the full year. Accounts receivable days sales outstanding stood at 71 days this quarter, which is even with the third quarter and flat from the fourth quarter of last year. In the quarter, inventories were approximately $270 million compared to $263 million in the fourth quarter of the prior year, which was in line with our expectations. Looking ahead to 2018, our outlook generally assumes continued stable demand from our pharmaceutical and industrial end markets, consistent growth and recurring revenue and balanced growth rates from our geographies. These dynamics lead up to a mid single-digit constant currency sales increase in 2018. At current rates, currency translation is assumed to increase 2018 sales growth by about 1%. Gross margins for the year are expected to be consistent with the prior year in the range between 58.5% to 59%. Our plan for the full year is to manage operating expense growth at a rate that is less than our sales growth. Moving below the operating income line, net interest expense is expected to be approximately $16 million to $17 million, a reduction as compared to 2017 due to the increased flexibility and deploying our cash balances as a result of tax reform. We estimate our full year tax rate, which reflects the impact of tax reform and stock compensation rules to be in the range of 13% to 15%. This includes an estimated impact of about 2% related to provisions in the new tax reform law. Breaking this down further, we were estimating a positive impact in the range of 1% to 2% due to lower U.S. tax rates. However, this is offset by an unfavorable impact in the range of 2% to 3% as a result of the intangible and base broadening provisions and a lower tax benefit from stock compensation as a result of the U.S. tax rate reduction to 21% from 35%. We expect to further refine our full year tax rate as we gain more clarity on the tax reform regulations and will provide updates as appropriate. Our guidance regarding capital allocation assumes continuation of our share repurchase program through 2018 at a rate that will result in an average diluted share count of about 78.5 million shares outstanding. This share count assumes a share repurchase plan for the year that will approximately offset the impact to our tax rate from tax reform. Rolling all this together and on a non-GAAP basis full year 2018 earnings per fully diluted share are projected to be within the range of $8 to $8.25. At current rates, the foreign currency impact on full year earnings per share growth is expected to be about neutral. Now, looking at the first quarter of 2018, we expect constant currency sales growth in the mid single-digits. At today’s rates, currency translation is expected to positively impact first quarter sales growth by about 2%. Other key assumptions for Q1 include a moderate increase in expenses as well as an estimated increase in our overall tax rate in Q1 of about 5% to 6%. The Q1 tax rate is impacted by tax reform and a strong $0.09 base of comparison from the stock option compensation benefit in the first quarter of 2017. Lastly there was one less calendar day in the quarter versus last year. We estimate first quarter earnings per diluted share in the range of $1.48 to $1.60 with an approximate 1% positive impact from foreign currency translation at current rates. Now I would like to turn the call back to Chris. Chris?
Chris O’Connell: Great. Thank you, Sherry. As we move into 2018 we will continue to emphasize execution in our core businesses and delivering on our operating performance objectives. As we have stated we will seek to balance growth, operating leverage and investment in the business. With that we will now open the phone lines for Q&A. We are rarely able to get everyone’s questions, so please limit yourself to one question and one follow-up and if you have additional questions please contact our Investor Relations team after the call. Operator, can we have the first question please.
Operator: Thank you. Our first question comes from Tycho Peterson with JPMorgan. Your line is open.
Tycho Peterson: Hi. Chris, I want to start with the rebound in the U.S. market, good pharma strength, good academic, can you maybe just talk on those two trends how you are feeling, kind of exiting the year, was there any budget flush dynamic and in other segments?
Chris O’Connell: Yes. Thanks Tycho. Yes, we were as I said in the prepared remarks we were encouraged by the U.S. As you know the first half of the year we sustained some declines as it was pretty clear at the time and an even more clear in retrospect that there was caution on the part of a lot of U.S. companies particularly in pharma and some of the industrial businesses really waiting some of the regulation and policy and tax changes that came later in the year. We did see as you recall some improvement in the third quarter in the U.S. and then we had a nice close to the year. So I would just say that the finish that we had hoped for in the U.S. was. There was a renewed sense of confidence in a pretty broad based way across the end markets. And we feel good about that going into the year. Now, obviously one quarter does not a trend make and so as we enter 2018 we are hopeful, but we are also balanced in terms of what might happen from here.
Tycho Peterson: And then you kind of maybe commented around cash being a strategic asset here, I understand there are lot of kind of moving pieces, but I guess as we think about the potential to bring back cash when do we expect we will get more granularity and visibility on that and then you kind of alluded to more investment here in U.S., I guess over what timeframe should we be thinking about that?
Chris O’Connell: Sure. Based on the way the tax works and I will have Sherry comment further on some of the mechanics if you wish. Once we pay this toll tax, we have access to that cash. And obviously we are thoughtful in where that cash is to maximize the return on that cash while we go through our decision making on how to deploy it. And really my comment on cash is a strategic asset is a very thoughtful approach to making the right decisions in terms of allocation of capital to all of our priorities to invest in the business to show up our balance sheet and return capital to shareholders. We obviously have a great share repurchase program, as Sherry commented we are going to continue or even enhance that in the current year to offset some of the effects of the minor short-term tax rate increase. But we really have an eye towards being opportunistic I would say. In terms of investing in the U.S. as I mentioned it’s a much more favorable investment environment and there are clearly some investments that historically maybe we have been a little more cautious on the U.S. given the uncertainty of the tax situation but now are taking a more careful look at and we will obviously provide more details on some of the things that we are considering as we develop those plans. But we are going to be patient and we are going to thoughtful, we are going to be careful about that because we are very fortunate to be in a position of having significant cash to allocate against a high return on investment opportunities.
Tycho Peterson: Does this change your view on M&A at all in terms of opportunities?
Chris O’Connell: No, it doesn’t change our view at all in M&A. As you know we are more organically driven. That said, we are also making sure we are aware of everything happening in the marketplace if we were to consider M&A would be from a strategic lens we would not change our approach relative to our investment priorities, but is a tactic to support a business strategy, we are open to it, but we would be very disciplined about it. And as I try to consistently say access to cash doesn’t necessarily change our willingness to engage in M&A.
Tycho Peterson: Okay, thank you.
Operator: Our next question comes from Dan Leonard with Deutsche Bank. Your line is open.
Dan Leonard: Thank you. First question on tax reform, Chris, are you in discussions with your customers, are you getting any early indication that tax reform is going to stimulate demand for Waters products in 2018?
Chris O’Connell: Yes, Dan, it’s a good question. And I would say it’s too early for me to put too fine a point on that. I think what we saw with our customers and in discussions is just a general relief that tax reform is here and excitement about a more favorable investment environment in the United States. And in terms of tying specific purchases of our technology to that type an event, it’s probably too early to make that directive a connection, but certainly there is a tone that’s out there that’s generally positive and we are grateful for that, but keep in mind, U.S. is really only about 30% of our overall business and half of that business is recurring revenue anyway. So, I think the effect you would see would be balanced.
Dan Leonard: Okay. And then from my follow-up question, how are you contemplating the potential for pharma M&A as you think about your guidance for 2018 from M&A and any potential disruptions associated with that?
Chris O’Connell: Yes, I guess I am not really an expert in handicapping whether pharma M&A is going to accelerate or not. There is probably better sources for that but I think my view on pharma M&A is that as long as pharma M&A is being done for the reasons of enhancing product portfolios and therapeutic portfolios, which is generally what I think happens. I think it’s something that wouldn’t necessarily affect us all that much. At the end of the day most of our business is tied to late stage development and QA/QC and we know that pharma companies who are under taking those type of strategies are looking to enhance their portfolios in the market and really leverage combinations to address overhead cost not necessarily innovation and certainly not production costs as it relates to serving the market. So either way, I think the demand for our products should be approximate and we will watch it carefully, but I don’t really have a clear sense as to how that may play out.
Dan Leonard: Appreciate the thoughts. Thank you.
Operator: Our next question comes from Steve Beuchaw with Morgan Stanley. Your line is open.
Steve Beuchaw: Hi, good morning. I am really just going to ask one question, but maybe I will pick on a few parts within it. It’s just a request to get a little bit deeper understanding of some of the components of the thinking around the top line outlook for 2018. I guess, first, Chris as I reflected back on your comments, you gave some pretty encouraging comments on pharma and how you think about pharma as a source of funds in 2018. I wonder if you could give us a sense for where you think pharma lands as a growth driver and the model relative to the long-term trend in the maybe 6%, 7% range. Could we do a little bit better maybe in 2018 as we get relief in the U.S.? Second, I didn’t hear you talk about what you think about the trend in terms of academic funding, very strong quarter for the company there, some enthusiasm around academic funding in a number of parts of the U.S.? And then third started piloting with the multi-parter here, but could you talk a little bit about the balance between hardware growth in 2018 and recurring growth in 2018, particularly around LCMS and then I will get back in queue and say thanks so much.
Chris O’Connell: Good. Thank you, Steve. I will try to remember all of that. As it relates to pharma and our outlook for pharma, like I said, we were encouraged with the close to the year we had a good solid year of 7% pharma growth in total and that was on tough comp and that is ahead – a little bit ahead of the historic trend line, so just to remind on the historic trend line, the long-term trend line of pharma growth for us tends to be around 6%, which is a little ahead of the market. We have been doing a little bit better than that recently. In terms of our assumptions for ‘18, again, we go into a year with a balanced outlook. We don’t assume in our guidance that everything goes right even though we strive for to do as well as we can. So, we are watching the market carefully particularly the U.S. as I mentioned before one quarter does not a trend make, but I would say we are hopeful for more stable conditions particularly United States as we enter the year based on the additional certainty there is relative to tax reform and some other factors. As it relates to academic funding, again we are not probably the best proxy, not the best proxy for that type of question since academic and government is a smaller percentage of our business. Academic though is the lion’s share of our government and academic category. We had a good year there. We had 6% growth, but keep in mind the prior year we had a 3% decline. As you know, that business tends to be quite lumpy. And while we did see decent trends in the back half of the year for the academic world, particularly really in all geographies around the world, it’s never entirely clear how sustainable that is, so, again looking at balance coming into the year in sort of the middle or part of our guidance for historical kind of range of academic type performance. And then I think the last question you asked about was instrument growth. We had a solid instrument year overall of 4% growth and that was on a comp of 6% the prior year. And in the fourth quarter, our instrument growth was about 3%, but against a very tough comp of 9% for the prior year, so really pretty consistent with historical trends you are seeing our instrument growth that is slightly slower than our overall top line average with chemistry and service doing a little bit better than the average in that mix continues to gradually migrate towards the recurring revenue. So, I don’t think there is anything that unusual going on there other than to say we are pleased with the solid performance across all those categories.
Operator: And we will go to our next question it’s from Tim Evans with Wells Fargo Securities. Your line is open.
Tim Evans: Thanks. Chris, I just want to push a little bit on the tax reform, because this is such a massive change to potentially to your capital structure and investment paradigm. Two specific questions and maybe you can answer about your long-term targets. Number one, do you want to continue to be in a net cash position or do you at some point in the future anticipate being in a net debt position. Obviously, your balance sheet should be able to sustain our net debt position given your cash flow. Second question is in the long run do you anticipate your R&D expenditures or your CapEx to be materially higher as a percentage of revenue than they are now given the ability to invest differently in the U.S.? Thanks.
Chris O’Connell: Yes, thanks, Tim. Appreciate the question. In terms of long-term goals of net cash or net debt, I wouldn’t say that we have a pre-described formula in our head. We want to do the right things to be great capital allocators. I think that’s the bottom line. Like I said, cash is a great asset for us to have and we want to make sure we are flexible to invest opportunistically when the right opportunities present themselves across that entire range of capital allocation priorities. If that means that we are more cash heavy until that happens fine, if that means at some point we find the right opportunity to invest and get more debt heavy that’s fine too. It’s really going to be a function of the return on invested capital, which have been consistent in terms of being the priority and at what point in time those investments are most fruitful. As it relates to changes in R&D and CapEx, I think you have seen me really emphasize R&D in terms of the returns to the company and the organic growth strategy. In fact, I was looking at some numbers last night and our R&D over the last 5 years has very steadily grown and conservatively grown from about 7.5% of products revenue that’s excluding service where there isn’t any R&D, but 7.5% of products revenue to 8.5% of products revenue over the last 5 years in a very gradual study way and I like that. I am pleased with that, because we have also been able to cover that with efficiency gains in other parts of the P&L to deliver modest ongoing operating leverage. As it relates to CapEx, we have been a pretty steady 3.5% to 4% of sales type CapEx company and CapEx investments and opportunities to invest in CapEx, we would look at, but if there anything major we would obviously give more information as we assess those opportunities. So I would characterize the answer overall is open minded, but very disciplined and patient to B grade capital allocators.
Tim Evans: Understood, okay. Thank you.
Operator: Our next question comes from Derik de Bruin with Bank of America/Merrill Lynch. Your line is open.
Derik de Bruin: Hey, good morning. Hey, where are we in the industrial analytical instrument growth cycle, I mean the market has been rounding, but still been a little bit slower than I would have thought, I guess can you sort of talk about some of the industrial end market demands and just what your chemical customers doing, some of your material sciences customers and just do you expect that segment to accelerate significantly in 2018?
Chris O’Connell: Yes. I think it’s – Derik, I think the industrial marketplace is in a good space right now. Heading into last year we were a little more cautious for particularly some of the U.S. type reasons, but as the year played out and we look at the year as a total body work. Industrial was right in the – right in the zone of the mid single-digits in a solid and we believe hopefully sustainable way. And obviously that’s reinforced by a broader global economic backdrop of a pretty good balance in most major geographies around the world, good growth, employment pictures are pretty solid, relatively low rates of inflation. So the overall economic backdrop and many people comment on this has been supportive of that. In our quarter there were some core key one-time type factors year-over-year as I mentioned we are in a 14% growth in industrial in the fourth quarter of ‘16. And so if you look at a stacked comp quarter-to-quarter is solid and we also had some lingering effects that hit the industrial category are related to the natural disaster aftereffects in Latin America. So there were some kind of one timers in there, but maybe the best proxy for us in terms of what’s currently happening in industrial is TA Instruments, you mentioned material science, material characterization, which is the heart and soul of TA. And TA had a solid year as we mentioned. That business does tend to be historically a little more lumpy, because it’s more instrument oriented, but TA is probably a more indicative of the underlying. Picture in industrial and obviously TA we are getting better than average results, because of the new product platform that we have the market, the discovery series and so we are doing even better than maybe underlying demand, because of that new technology in the market. But I would characterize industrial overall as reasonably stable. I am not one to call cycles, so we are just going to again watch it carefully as we go into the year and have a balanced outlook that I think it gives us some confidence and reasonable performance as we look at ‘18.
Derik de Bruin: Great. And just one follow-up on this, so in the LC business and the QA QC business, I guess how much is the – the demands are very good for a while, I mean how much demand right now is replacement business versus capacity addition in the QA QC market, I am just curious is like how many new plants are going, I mean obviously some of your end customers are consolidating manufacturing, I am just wondering how you think about that the dynamic between new adds versus consolidation versus replacement?
Chris O’Connell: Yes. There is some, generally, about half of the business out there is sort of replacing older units that are going out of service and about half is new adds. And I think the underlying thing that I look at is just the volume of testing activity and to me that’s in two different ways. One is just the additional testing activity related volume and looking at global prescriptions and global pill counts and the rising access to medications that many people are enjoying around the world, practically in the emerging markets. That’s sort of a steady drumbeat of fleet expansion if you will and opportunity for new entrants. We have a pretty broad pharmaceutical customer base, so it’s not just about big companies replacing their products and expanding plants, it’s also about a lot of new upstarts that you see across the range from innovator molecules to generics. And then obviously the testing activity on the innovator side with more and more focus being on biomolecules and more elaborate testing methods, those are both things that add up to that total activity which really yields at the end of the day, expansion of fleet, new facility and then some kind of drumbeat of replacement is older technologies need to be replaced.
Derik de Bruin: Thanks.
Chris O’Connell: Thanks.
Operator: Our next question comes from Dan Arias with Citigroup. Your line is open.
Dan Arias: Hi, good morning. Thanks. Chris, maybe just to finish the thought on Derik’s question, how should we think about TA growth this year given the things that you mentioned?
Chris O’Connell: Yes. So again like I will go back to the theme that that we have a balanced outlook for TA, TA obviously had a strong year, they have tough comps obviously coming into the year with the kind of year they had. So, the counter starts at zero again and it’s a big hill decline. And as long as the overall industrial conditions in the market are favorable, I think we feel we have got the product portfolio to compete in that market. But again our guidance doesn’t assume that everything goes right although my expectation is to for TA to perform with the company average or better.
Dan Arias: Okay. Then maybe just as a follow-up, two quick geography questions on Europe, obviously things right there in a pretty good place, can you touch on Western versus Eastern Europe and then how those two shape up for the year when think about your overall outlook for the region in ‘18. And then also just curious what you are thinking on Japan if you are giving the ups and downs that we have had there?
Chris O’Connell: Sure. In terms of Europe, it was noteworthy in Europe this year to have the type of consistency we had across the year. And it was I would say consistency quarter-to-quarter that was somebody unusual historically. And I think it reflects the broad base of reasonable economic conditions in the background. We actually had kind of an unusual dynamic where for the better part of the year all four regions within Europe were in positive territory Northern Europe, Western Europe, Central Europe and – sorry Northern Europe, Central Europe, Southern Europe and Eastern Europe. Eastern Europe had a good year that that business had been down and in some prior years, but had a reasonable year. I think we are hoping for again a balanced outlook as we come to this year, but I certainly don’t know enough to forecast individual sub-geographies with any precision. But Europe has been a solid performer for us really driven by that solid base of pharmaceutical customers throughout Europe as well as reasonable biomedical research world. Japan had a solid year. Japan was a pretty typical, kind of low to mid single-digit type grower for Waters in both the quarter and the year. And as you know Japan tends to move around a little bit quarter-to-quarter based on how the different categories are doing in fiscal years and so forth. But our Japanese business has been in the broader picture quite stable and a good cash flow generator.
Dan Arias: Thanks so much.
Chris O’Connell: Thank you, Dan.
Operator: Our next question comes from Doug Schenkel with Cowen. Your line is open.
Doug Schenkel: Okay, good morning and thank you for taking the questions. I just wanted to talk briefly about SG&A expense in the quarter, it grew 12% actually a little bit more in the fourth quarter, when we look at why the incremental margin wasn’t a bit higher and a strong top line growth quarter, this is the line that jumps out at us, so I am just wondering was there some opportunistic investment in a period of growth and if so where were these targeted investments made and what are you looking for in terms of targeted returns either in 2018 or beyond?
Chris O’Connell: Sure, sure, yes. Obviously, quarter-to-quarter dynamics in the P&L jump around a little bit, Doug, as you know. I would point you back to the big picture for the year we saw a 40 basis point expansion in our operating margin and I count that as good solid modest operating leverage what we are able to invest exactly to your point. We actually grew R&D expenses for the year at about double – about 10% constant currency even with the modest operating leverage and also grew our SG&A expenses slightly lower than sales for the year. So, for the quarter, there was some catch-up in terms of incentive compensation with the stronger than expected finish on the revenue line and some things that are probably more akin to what you might consider one-timers, but it is that balance that we are trying to strike, I will have Sherry comment a little bit further on the P&L, but I think overall we feel good about the year that delivered that balance of growth investment and operating leverage. So, Sherry, you want to add to that?
Sherry Buck: Yes. Just to highlight what Chris said, we go into each year really trying to manage our operating expenses to grow less than our top line and fourth quarter in particular because of the stronger performance we had some catch-up on variables and that’s kind of our plan is to keep managing that. We have a number of things underway as we go into 2018 to put some more programmatic things behind, how we continue to get continuous improvement on our operating margins. So, we look for modest improvements.
Doug Schenkel: Okay. And thank you for that. And Sherry, I think one more for you. Just looking ahead and thinking about guidance specifically gross margin. We saw some nice momentum coming out of 2017, one might have thought that this would continue in 2018 at least to a level that’s maybe a little bit higher than where you have guided, which is for essentially flat year-over-year gross margins. Would you just walk us through the puts and takes there and it seems like FX is likely part of this. So, if you wouldn’t mind getting a little more specific there that would be helpful?
Sherry Buck: Sure. So on the gross margin line, the kind of big factors around that obviously with higher volume or higher sales we would be able to give positive impact being able to offset fixed cost absorption, but really mix plays a really big part as we look at the mix of our sales both geographically as well as service revenues. So, service revenues, as it continues to grow and be a big part of our business, it’s actually dilutive to our gross margin and accretive on our operating income line. So, we have really tried to look at kind of the whole picture how we improve margins. So, there are things underway and operating efficiencies to be able to improve gross margin, but there are a lot of pushes and falls and we are guiding to a 58.5% to 59% and we will be working to see if there are other opportunities to improve that, but mix kind of shakes out during the course of the year.
Doug Schenkel: Okay, thank you very much.
Operator: And next we have Puneet Souda with Leerink Partners. Your line is open.
Puneet Souda: Yes, hi, Chris. Thanks for taking my questions. So I am trying to understand a bit better on the recurring revenue growth. So, you delivered obviously it’s only in the quarter. I was just trying to understand the underlying dynamics, is it related to some of the more product lines, is it a more Glycan kits or columns versus the service contract uptake? Would be helpful if you could just elaborate a bit and give us a sense of sustainability of that in 2018 knowing the pharma uncertainties that you have talked about?
ChrisO’Connell: Yes, thanks, Puneet, I appreciate the question. I think the underlying dynamics in the recurring lines were pretty consistent with historical performance. We definitely continue to drive service plan up and certainly we see growth opportunity particularly in the emerging markets where there has been more installed base build out and where more products are still under warranty as those products come off service plan opportunities come on. And so we have opportunities just to continue that slow steady march upward in terms of attach rates on service plans and they are pretty high and pretty stable in the developed markets and there is opportunity for growth in the emerging markets. We also continue to add to our portfolio and professional service offerings and these are the more consultative type of programs that are more informatics driven that customers find incredibly valuable. As it relates to the chemistries it’s really a little bit of both what you mentioned. The core column business is very solid, very solid aftermarket that reflects the high utilization of our systems, but also kind of a gradually improving mix based on the growth of UPLC methods. And as you know UPLC columns tend to be sold at a little more of a premium and we have a higher attach rate on our UPLC platforms than our HPLC platforms. And also the kits Glycan measurement is clearly a great area of interest among a lot of our customers and that plus also protein works and in other offerings we have in that area and we think that it’s a smaller business for us right now in terms of these kits, but one that we think has good growth potential on a pretty sustainable basis.
Puneet Souda: Okay. Thanks for that. And one follow-up in terms of you have obviously highlighted in past that smaller accounts and biotechs have become increasingly bigger part of the revenue at Waters over the years and could you give us your sense of sustainability of that over than next year knowing that there is the tax reform driven M&A potentially here and obviously I mean I agree the point that you don’t have the M&A crystal ball neither do we. So I am just trying to understand how to think about if those mid to small sized biotech accounts will continue to become a bigger part of Waters or become consolidated? Thanks.
Chris O’Connell: Yes. I guess like I said earlier Puneet, I don’t really have that crystal ball and probably not the best predictor of what might happen in consolidation. All I can share is the experience I have is I go out into the marketplace myself and as our teams work every day. And that’s that there is a broadening base of customers. And there has been a lot of activity at the startup and midsize level as it relates to our business. Many of those companies that I speak with are looking to build bigger franchises over time. They are going after multiple targets. And to the extent some of those companies are more U.S. oriented that gives them some benefit from tax reform as it relates to their own profitability after tax. Again, we – I would try to gauge the overall inventive and volume related dynamics for the industry at large, almost regardless of who is actually driving that. And we certainly see the big companies driving innovation. We certainly see the small companies driving innovation. And we like that balance that ultimately produces in our business. So it’s a dynamic marketplace and we will just have to what you play out and see where the opportunities are.
Puneet Souda: Okay. Thank you. Very helpful.
Chris O’Connell: I think we have time for about two more questions here before we run out of the top of the hour.
Operator: Okay. Our next question will be from Jack Meehan with Barclays. Your line is open.
Jack Meehan: Thank you. Good morning, I want to ask about new products, you mentioned that growing testing needs for large molecule, could you give us an update on BioTOF and do you think that could be a contributor in 2018?
Chris O’Connell: Sure, yes. Let me give you quick comment on product and we remind you of my typical answer and that’s that new branding products are really important, but also the new technology that’s in the market is really what’s driving our business clearly in the last 2 years, 3 years, 4 years we have had some great entrants across the board from QD arc to QDA to TQS Micro, TQXS, the discovery series in TA. And we are really keying on a lot of those technologies along with legacy acuity and legacy alliance and all the associated chemistries. In ‘18 we have a number of platform enhancements that are coming out that don’t sound like big fancy new products, but are really important in terms of enhancing the overall application success of our customers. And then BioTOF continues to move well through development. I don’t want to put a specific timeline on the launch, but I am very excited about this program to provide more of an off-the-shelf solution for about molecule characterization that we believe can work its way right into the heart of the routine and regulated workflows first in development than in QA QC. We think there is a lot of demand in the market for it and all I will say is that the product development teams are working very hard and making very good progress. And I anticipate that as we move through the year, I will be able to give you a better sense as to when the market might see that.
Jack Meehan: Great. Looking forward to it. And then just one on the quarter, you mentioned some of the India GST disruption came back, is that fully worked through the system now and maybe just where did that contribute in the quarter?
Chris O’Connell: Yes. So, India as you know had a – we had a decline in Q3 as we had some delays with GST. It’s a complex process of harmonization in terms of both state and national transaction taxes. We did make good progress. One of the things to note though is that the laws around GST are still evolving and that system catch-up that I have talked about before is I think doing well, but still not out of the woods yet and so we think that this as we have said before that the full catch-up process takes more than a quarter. So I wouldn’t say it’s fully back to normal yet, but I think we are probably through the toughest pieces of it and we are supporting our India team with everything we have as company to keep everything moving while we get through it, but there really – there wasn’t any loss in demand through the process it was just more of a transition to work through and we are excited about our India business.
Jack Meehan: Thanks, Chris.
Chris O’Connell: Okay. I think we are one more here.
Operator: Alright. Our last question will come from Ross Muken with Evercore ISI. Your line is open.
Ross Muken: Good afternoon, guys. Good morning. So maybe just on China, can you just give me a view on sort of how you are thinking about the cadence obviously it’s been strong all year and I am more interested in sort of dividing it into kind of the emerging biopharma and generic customers versus sort of some of the more traditional parts of industrial that you touch?
Chris O’Connell: Sure. Yes, thanks for the question on China, Ross, as you know I am excited about China, I was excited about China for my whole career in medical devices and now here at Waters and I think there is just a lot of interesting things going on in that economy as China really moves towards a local innovation economy. Our China business as I have commented before is actually more balanced than most of our major geographies in fact, while 60% of our worldwide revenue is in pharma, only about 50% or even a little less of the business in China is related to pharma, but there is a broad as you suggest a broad backdrop of industrial business of food being over-indexed in China and also the material science business there. I guess I feel like what we are trying to do is to key off some of the major government initiatives, obviously, a lot of the focus now has been on some of the evolution in pharma, there is significant investment in local companies seeking to serve the Chinese market on the small molecule side, but also on biosimilars, I just was in China in mid-December and one night sat down with 10 CEOs of biosimilar companies that were all Chinese biosimilar companies serving the local market and I can’t quite quantify what that exactly means, but I do see a lot of drive for innovation and a lot of optimism that those markets are there and that the government is going to support those therapies as come to patients. There are some broader things going on in China too around one belt, one road around healthy China 2030 and other key initiatives that we are just making sure that we are providing the type of technologies in service, but that companies in China need to take advantage of those trends. So, there is definitely a tilt towards some localization there and we are looking at strategies as to how we continue to localize, but overall we are just trying to maintain that balance in that growth and make sure we feed the eagles in China with the right investments, so that they can continue to grow and perform.
Ross Muken: That’s helpful. And maybe just to close things out, so as we think about ‘18 forecast. This is business pretty predictable, lot of recurring revenue, I guess variability tends to come on the instrument line, if you are thinking about sort of the key sub-segments whether it would be geographic product or end market that is likely to sort of drive maybe a differentiated view versus your original forecast, where do you see the most likely sort of volatility or maybe variability and kind of the assumptions and what markets maybe you have the best sort of inclination versus maybe is there anything, it seems like everything is so positive where you see a little bit of caution?
Chris O’Connell: Yes, I think that’s a crystal ball type question that I would hesitate to put too fine a point on. Obviously, there are different dynamics as it relates to comps, tougher comps and easier comps in various quarters by various geographies and the math is fairly clear there, but I guess the thing that I am assuming and I feel good about is the balance across geographies backed by some reasonable assumptions in the overall global economy and balance across our customer-defined end markets that we saw this year. I mean, if you look at 2017 overall we got 7% out of pharma, 5% out of industrial and 6% out of government and academic. And while those numbers are not completely similar to historic numbers, they do underscore the balance that we see in our business right now. So balance, balance, balance is what we strive for and we will obviously build plans to address unforeseen circumstances as they come up, but just keep our eye on the ball as it relates to delivering this year, but also investing in things that are exciting and will lead to sustainable growth for the future.
Chris O’Connell: So, anyway with that, I think we need to wrap up. We are a little over the hour and I do want to thank all of you for your great questions. Concluding now, we are pleased with our fourth quarter as I mentioned and our full year results for 2017 and it was headlined by our ability to deliver consistently strong organic revenue growth combined with disciplined P&L management to deliver double-digit earnings per share growth. As we move into 2018, we remain focused on execution and feel that market conditions combined with our strong competitive position support continued success. So, on behalf of our entire management team, I would like to thank you for your support and interest in Waters. We look forward to updating you on our progress during our Q1 2018 call, which we currently anticipate holding on April 24, 2018. Thank you and have a great day.
Operator: Thank you. That concludes today’s conference. Thank you for participating. You may now disconnect.